Operator: Good morning and welcome to the United Continental Holdings earnings conference call for the full year and fourth quarter 2011. My name is Michelle and I will be your conference facilitator for today. Following the initial remarks from management we will open the lines for questions. (Operator Instructions) This call is being recorded and is copyrighted. Please note that no portion of this call may be recorded, transcribed or rebroadcast without the company's permission. Your participation implies your consent to our recording of this call. If you do not agree with these terms, simply drop off the line. I would now like to turn the presentation over to your host for today’s call, Ms. Nene Foxhall and Mr. Tyler Reddian. Please go ahead.
Nene Foxhall: Thank you, Michelle. Good morning everyone and welcome to United Continental Holdings full year and fourth quarter 2011 earnings conference call. Joining us here in Chicago to discuss our results are President and CEO, Jeff Smisek; Executive Vice President and Chief Revenue Officer, Jim Compton; and Executive Vice President and CFO, Zane Rowe. Jeff will begin with some overview comments, after which Jim will review capacity and revenue results. Zane will follow with the discussion of our cost structure, the balance sheet and guidance. Jeff will make a few closing remarks and then we will open the call for questions, first from analysts and then from the media. We would appreciate it if you would limit yourself to one question and one follow-up. With that, I'll turn it over to Tyler. Thank you.
Tyler Reddian: Thank you Nene. Our earnings release and separate investor update were issued this morning and are available on our website at ir.unitedcontinentalholdings.com. Let me point out that information in this morning's earnings press release and investor update and the remarks made during this conference call may contain forward-looking statements, which represent the company's current expectations or beliefs concerning future events and financial performance. All forward-looking statements are based upon information currently available to the company. A number of factors could cause actual results to differ materially from our current expectations. Please refer to our press release, Form 10-K and other reports filed with the SEC by United Continental Holdings, United Airlines and Continental Airlines for a more thorough description of these factors. Also during the course of the call we’ll be discussing several non-GAAP financial measures. For a reconciliation of these non-GAAP measures to GAAP measures, please refer to the table at the end of the earnings release, a copy of which is available on our website. Our full year 2011 results are presented on a combined basis for United Continental Holdings. Full year 2011 results discussed today, including comparisons against prior year will be based on unaudited pro forma financial results for the combined company and include estimates of the impact of purchase accounting. For additional details, please refer to our investor updates issued during 2011 and the fourth quarter of 2010, which are also available on our website. Unless otherwise noted, as we walk you through our numbers for the quarter we will be excluding special items, merger-related expenses and/or fuel hedged non-cash net mark-to-market gains and losses. These items are detailed in our earnings release. In the fourth quarter we reclassified revenue associated with our non-air mileage redemption through our MileagePlus loyalty program from passenger revenue to other revenue in 2010 and 2011 and these results have been adjusted to reflect the change. For additional information, please refer to our investor update issued today. And now I’d like to turn the call over to Jeffery Smisek, President and CEO of United.
Jeffery Smisek: Thanks Nene and Tyler and good morning and thank you all for joining us for our 2011 full year earnings call. Today we reported net income of $1.3 billion for the full year or $3.49 per diluted share, delivering a 3.6% pre-tax margin. For the quarter we earned $109 million of profit or $0.30 per diluted share. 2011, our first full year as a merged airline was a year on many successes for the new United. We received our single operating certificate, made good progress with our labor groups, delivered record passenger revenue, exceeded our goal of achieving 25% of our merger synergies for the year and generated returns in excess of our cost of capital. My co-workers worked together all year to run a clean, safe and reliable airline, while integrating our two subsidiaries. I am proud of the progress we made in 2011 and I thank my co-workers for all they did for the new United this past year. All their hard work paid off as we accrued $265 million of profit sharing for 2011. That represents about 5% of the eligible compensation of each participant in the program. My management team and I look forward to distributing profit sharing cheques to co-workers on Valentines Day, February 14, as we share in the profit that we all helped to create. I’ve been clear that we’re working hard to turn the new United into a real business; that is a business that sustainably generates returns in excess of it’s cost to capital. Sufficient and sustainable profitability will permit us to build the airline our co-workers want to work for, our customers want to fly and our investors want to invest in. There is no doubt that 2011 was a challenging year for the U.S. and global economies, marked by a high end employment, slow GDP growth in the U.S. and across much of the globe, high and volatile jet fuel prices, the debt crises in Europe and the adverse impact of the tragic earthquake and tsunami in Japan. Our ability to generate $1.3 billion of pre-tax earnings in this adverse environment is a testament to our financial and operational flexibility and company wide focus on sustained and sufficient profitability. While we made significant progress integrating the operations of our two subsidiaries in 2011, 2012 is the year that we will become one airline for our customers. We will have one brand, one website, one loyalty program and one name. As I’ve discussed with you before, the key to our becoming one airline for our customers is our conversion to a single passenger service system, which is known as shares and is the system currently used by our continental subsidiary. Our information technology, reservations and the airport services teams have developed and thoroughly tested our conversion. The shares platform is already integrated with continental.com, which will be re-branded as united.com and will be our combined website. We have devoted significant training, staffing and technology resources to ensure the success of our conversion to shares, which will take place in early March. After this conversion, all agents will be able to serve all our customers. We will be able to freely flow all our aircraft across our network and park at all our gates. We will have a single reservation system managing all our bookings and on our website and by phone and we’ll have a single loyalty program and our lead levels for all our customers. The flexibility and functionality of shares are key to achieving our goal of delivering 75% of our annual expected merger synergies in 2012. Once we’ve completed the conversion of shares, we will re-launch united.com, which will provide us with the right platform for innovation as we continue to develop new travel options and products that our customers will value and that will contribute to our bottom line. We will also launch our combined loyalty program MileagePlus. We are making significant investments in our onboard product, airport experience and our industry leading loyalty program and I’m excited by what we have in store for our customers this year. We began installing Economy Plus on our Continental fleet in December and will complete our entire Boeing 757 fleet by early February. By the end of 2012 we expect to have our entire mainline fleet outfitted with Economy Plus. We continue to install our lie-flat seats on our international aircraft and we expect to have virtually all of our international aircraft reconfigured by the end of this year. We will be the first U.S. airline to offer global in-flight connectivity when we begin our satellite based WiFi installation program in the second half of 2012. We will also begin a complete nose to tail overhaul of the interiors of our popular PS Trans-Con fleet later this year for flights between FJK and San Francisco in Los Angelus and when we’re done, we will have the best Trans-Con product in the industry. We continue to invest in a fuel-efficient fleet and expect to bring five Boeing 787 Dreamliners into service in the second half of the year. The Dreamliners will be a game changing aircraft and we eagerly anticipate its induction into our fleet. In addition to the Dreamliners, we expect to take delivery of 19 Boeing 737-900ER’s with the Boeing Sky Interior this year. We are also focused on enhancing the customer experience at our airports. Just this past Monday we broke ground on the first phase of our billion-dollar investment in Terminal B at Bush Intercontinental Airport in Houston. In Chicago, we are installing additional jet bridges for our United Express Operation in O’Hare’s Terminal 2. We are refreshing the interiors of many of our United Clubs around the system and we are building a new club in Terminal 2 at O’Hare. Since we merged a little over a year ago, we’ve already co-located operations at 66 airports and have common gate areas at more than 290 airports, making connections and airport navigation easier for almost 80% of all customers flying on our network. MileagePlus is the worlds leading loyalty program and we intend to keep it that way. We continue rolling out new ways for our customers to earn and redeem miles by expanding the number of business partners that participate in the MileagePlus loyalty network. The 2012 MileagePlus program launches in early March and features a new five tier elite program that recognizes and rewards our most valuable customers. We are expanding our customer service resources and the geographic footprint for our renowned global services program, our top elite tier. We are also continuing to integrate our workgroups that have made significant progress to better align the pay benefits and work rules for several of our work groups, on the path to negotiating joint collective bargaining agreements. Our United technicians represented by the teamsters recently ratified a new contract that better aligned their compensation and work rules with that of their continental co-workers and we will soon begin the process of negotiating a joint collective bargaining agreement. We recently reached a tentative agreement with the association of flight attendants for a new contract for our United flight attendants. The contract is currently up for ratification and when that’s done, we’ll begin the process of negotiating a joint agreement for our flight attendants. We began negotiations for a joint agreement with our ramp co-workers and our customer service airport and reservation agent co-workers are currently in an election process to determine whether or not they wish to be represented by a union. Our engineers recently rejected union representation in favor of a direct relationship with the company. We continue to have productive discussions with our pilots. The United Master Executive Council of the airline pilots association recently elected a new leader and we believe that he has a significant opportunity to engage constructively with the company and make progress on delivering a joint collective bargaining agreement that is fair to the pilots and fair to the company. We are making significant strides towards becoming the worlds leading airline, but none of it would be possible without generating sufficient profitability. Returns in excess of our cost of capital allow us to invest in our product, our people, our fleet, our facilities and our technology and ultimately provide rewards to all of our stakeholders. We have much more work to do, but we are clearly on the right path. Before I turn it over to Jim and Zane to walk you through the numbers, I would like to extend my thanks to our customers around the globe for their ongoing loyalty and for supporting us as we work towards completing our integration. We are working very hard to continue to earn your business. Jim?
Jim Compton: Thanks Jeff. I join Jeff in thanking our co-workers for their hard work this quarter and year and our customers for choosing to fly United. United’s fourth quarter consolidated passenger unit revenue increased 8.2% and mainline PRASM improved 7.4% versus the fourth quarter of 2010. Yield improvements again drove our revenue gains this quarter. For the full year United’s consolidated unit passenger revenue increased 9.2% versus 2010, leading the US network carriers during a challenging economic backdrop. Consolidated yield for the full year increased 10.6% year-over-year. Capacity discipline, fare management and the United’s outstanding route network drove the year-over-year yield in revenue growth. Throughout 2011 we demonstrated our commitment to matching capacity to demand across the network. Our fourth quarter consolidated capacity decreased by 2.5% from the same period in 2010. Domestic mainline capacity decreased nearly 5% and Trans-Atlantic capacity declined 2% in the quarter as compared to last year. For the full year the company reduced consolidated capacity by 0.2% and mainline capacity by 0.3% year-over-year. Fourth quarter domestic mainline PRASM increased 10.3% on a year-over-year yield increase of 9.8% and a capacity decrease of about 5%. For the full year domestic mainline PRASM increased 10.9% and a 10.6% increase in yields and a 2.8% decline in capacity versus 2010. This is an excellent full year result for the domestic mainline entity. Fares throughout the year remain higher due to successful fare increases, industry wide capacity discipline and early network optimization from our merger. Regional PRASM grew by 11.3% in the fourth quarter and 9.4% in 2011 compared to the same periods in 2010. International unit revenue increased 4.3% in the fourth quarter and 7.9% for the full year versus 2010. Fourth quarter and full year international yields improved 6.8% and 10.9% respectively. International capacity declined 0.3% in the quarter. Latin America again was United’s best performing entity this quarter and holds our top spot for the full year as well. Latin America PRASM drew 11.7% in the fourth quarter and 17.6% for the full year. Yields grew by more than 11% in the quarter and 19.5% for the full year. South America continued to significantly improve on a year-over-year basis in the fourth quarter with premium and economy PRASM up 17% and 15.5% respectively. Trans-Atlantic PRASM increased 3.7% year-over-year in the fourth quarter with yields up 6.5%. For the full year Trans-Atlantic unit revenue grew 5.1% and yield increased by 8.7%. Premium cabin demand to continental Europe and the UK was strong in the fourth quarter, with yields in PRASM up year-over-year. Middle East PRASM increased 5.3% and yields grew 6.4% with double-digit gains in the premium cabin. Our Pacific network generated PRASM growth of 6.4% for the full year, with fourth quarter PRASM up 1.1%. Yields grew 9.3% during 2011 versus 2010 and 4.5% for the fourth quarter. Our pacific presence is unmatched in the industry and it remains one of our most profitable entities. China PRASM end yield in the economy cabin decreased during the quarter, but were partially offset by higher fares yield in PRASM in the premium cabin. Corporate revenue continued to show steady improvement in the fourth quarter. Corporate yields grew 9% versus the fourth quarter 2010 and revenue improved 13%. For the full year our corporate revenue increased more than 14% with double digit yield growth and corporate fares up 9%. Business today is more global than ever and we continue to develop the United network and product portfolio to be a single solution for the corporate traveler. Our corporate customer portfolio is comprised of a diverse group of industries and this diversity provides United a unique hedge against demand volatility in any one sector. We have ongoing conversations with our corporate customers to best understand their near term travel needs and longer term outlook. Based on our most recent discussions, the majority of our global corporate accounts expect 2012 travel volumes to be flat to up and travel spend to moderately increase versus 2011, with first quarter trends expected to mimic the full year. Fourth quarter cargo revenue declined 8.1% versus the same period last year. We continue to feel the adverse impact of increased industry cargo capacity, particularly across the pacific. Cargo yields increased 5%, while cargo volumes decreased about 12% year-over-year. During 2011 we generated approximately $250 million of revenue synergies, beating our expectation. We expect to generate significantly more revenue synergies in 2012, enabled largely by our conversion to a single passenger service system. During 2011 we reduced capacity to right size our supply for the expected demand. In light of our latest demand projections and U.S. and global economic growth expectations for the year, we continue to believe that we should hold our capacity flat with a downward bias for 2012. We expect our first quarter 2012 consolidated capacity to be down slightly year-over-year. As a reminder 2012 is a leap year and as a result we expect to see capacity growth in February, which adds more than a point of capacity for the first quarter. We look forward to converting to a single passenger service system in early March, which will allow us to optimize our combined network and match the right aircraft with the right markets. While we have already done some modest optimization on a limited basis as opportunities arise, we plan to make more material schedule changes as we move through the year. A single passenger service system is not just about the schedule; however, it also provides us the opportunity to introduce new ancillary products. Ancillary revenue this quarter grew by 5% year-over-year and for the full year we generated more than $2 billion in ancillary revenue. Our existing portfolio with ancillary products and services, led by our Economy Plus seating is well received by our customers. Once we convert to shares, we will harmonize our ancillary product portfolio and begin to roll out new products for the new United. That said, core passenger demand remained stable and solid and based on our latest forecast we estimate United’s January consolidated PRASM will increase approximately 11% year-over-year. Domestic yields continue to show strong improvement year-over-year and we have seen numerous fare actions recently to further improve the yield environment. This PRASM estimate is preliminary based on the data we have for January this far. Looking further into the first quarter, we faced more difficult comps in February and March. Our advanced booked seat factor is solid, up one point domestically, however we do see a reduction in advanced book seat factor in the pacific, primarily due to the shift of the Chinese New Year from February last year to January this year, which moved bookings earlier in the year in 2012. With that I’ll turn the call over to Zane.
Zane Rowe: Thanks Jim. I’d like to start by thanking the entire United team for all their effort in helping produce a strong profit in 2011, while managing through our merger integration. United’s consolidated operating expense increased approximately 10% or $3.2 billion year-over-year in 2011 as fuel costs increased nearly $3 billion compare to the previous year. Excluding the impact of hedges, fuel prices rose 29% year-over-year in the fourth quarter and 38% for the full year. Full year consolidated and mainline unit costs increased 10% year-over-year. Holding fuel rates and profit sharing constant, consolidated unit cost were up 1.1% as we continued company wide efforts to control costs and realize efficiencies from the merger. In the fourth quarter consolidated unit costs, the holding fuel rate and profit sharing constants were up 0.5% while we reduced capacity nearly 3%. This year we made good progress integrating the two subsidiaries and generated over $400 million of synergy value, slightly exciding our expectations established at the time of the merger. In addition to the over $250 million of revenue synergies, our integration efforts yielded $150 million of cost synergies in 2011. We accrued an additional $23 million in profit sharing this quarter for a total of $265 million for the year. Non-operating expense was $191 million for the quarter and $977 million for the full year. Interest expense decreased by nearly a $100 million this year, as we delevered the balance sheet and retired some higher priced debt. For the year we incurred $59 million of fuel hedge ineffectiveness expense associated with our WTI hedge positions. Our fourth quarter profit was $109 million and our full year profit was $1.3 billion, generating a per-tax margin of 3.6% for the year. This resulted in a 11% return on invested capital, nicely exceeding our cost of capital. We are pleased with this result in light of the economic challenges we faced and it illustrates the improvements we’ve made managing through periods of adversity. Moving to the balance sheet, we ended the year with $8.3 billion of liquidity, including an un-drawn $500 million revolving credit facility that we entered into during the fourth quarter. The facility provides attractively priced additional liquidity while we pay down debt and strengthen the balance sheet. During the quarter we generated $265 million of operating cash flow and growth capital expenditures were $204 million. We again reduced debt this quarter, paying $494 million in debt and capital lease obligations, including $71 million of prepayments. For the year we paid down $2.6 billion of scheduled maturities and debt prepayment. Reduced capacity in 2011 by two percentage points versus our expectations at the beginning of the year, as we responded to the rise in cost of fuel and the economic environment. As Jim mentioned, we currently expect our 2012 capacity to be flat to down for year and down slightly in the first quarter. We will continue to be prudent about our level of capacity deployment. In 2012 we faced cost pressure as a result of our decision to increase investment in the business and inflation in certain areas. We are making a number of product improvements, such as increasing staffing at the airport to enhance our customers experience, deploying Economy Plus across the continental mainline fleet and improving our food offerings in the premium cabins. We are chaining aspects of our maintenance program to improve the condition and reliability of our aircraft. We will also see cost pressure in some areas, including pension expense due to historically low interest relates, as well as wage and benefit expense as we’ve made progress on a number of our labor agreements. We expect to achieve an incremental $200 million of cost synergies in 2012. As a result, we expect our consolidated unit costs, excluding fuel, profit sharing and in salary business expense to be up 2.5% to 3.5% year-over-year in the first quarter and the full year of 2012. As we disclosed in our December investor update, we are now excluding ancillary business expense from our core unit cost. The revenue associated with this is recorded in the other revenue line. Ancillary business are those associated with activities that do not generate seat miles. These include components of the MileagePlus program such as non-air mileage revenue and redemption expense, as well as services for third parties including maintenance, ground handling and catering. Ancillary business expense is expected to be approximately $65 million in the first quarter and $340 million for the full year of 2012. Based on the forward curve, as of January 18 we expect our consolidated fuel price to be $3.27 per gallon in the first quarter and the full year. We’ve hedged approximately 48% of our expected first quarter fuel consumption at an average Gulf Coast jet equivalent of $3.24 per gallon. We’ve hedged approximately 32% of our expected fuel consumption for the full year 2012 using a combination of collars, swaps and calls. We have $1.3 billion of scheduled debt maturities and capital lease payments in the year. While we are committed to strengthening the balance sheet in 2012, we are also mindful of the need to invest in the business. We continue to refresh our fleet with modern, fuel-efficient aircraft and expect to induct into service 24 new aircrafts this year, comprised on five Boeing 787 Dreamliners and 19 737-900ER aircrafts. As a result we expect gross capital expenditures to be $2.3 billion in 2012 or $1.3 billion net of expected financing. As we take delivery of new aircraft, we are retiring older, less efficient aircraft, improving the operating economics of the fleet. We are retiring 22 domestic aircrafts comprised on 17 737-500s and five 757-200s, as well as five international 767-200ERs. In 2012 our team of more than 80,000 at United will focus on working together to generate value for all of our stakeholders, by building an airline with great service, competitive products and an unparallel rout network. With that, I’ll turn the call balk over to Jeff.
Jeffery Smisek : Thanks Zane. Our results in 2011 were solid. I’m proud of what my co-workers were able to accomplish in such a challenging year and I want to thank them all for their hard work. 2012 will be a very exciting year as we substantially complete our integration and continue to build the world’s leading airline; the airline customers want to fly, co-workers want to work for and investors want to invest in. I’ll now turn the call over to Tyler to open it up for questions.
Tyler Reddian:  Thank you Jeff. First we’ll take questions from the analyst community, then we’ll take questions from the media. Please limit yourself to one question and if needed one follow-up question. Michelle, please describe the procedure to ask a question.
Operator: Thank you. (Operator Instructions). Our first question comes from Hunter Keay from Wolfe Trahan. Please go ahead.
Hunter Keay - Wolfe Trahan: Thank you. Good morning.
Jim Compton: Good morning Hunter.
Hunter Keay - Wolfe Trahan: So I guess after Delta got its single operating certificate after the Northwest merger, there was a little bit of revenue dis-synergies that they experienced and they ended performing in the industry for a few months before really starting to outperform what really amounted about a year later after SOC.
Jim Compton: Hey Hunter, this is Jim. I think a couple of comments on that. I would first say that I don’t think there was anything that was unexpected. One example I’ll give you is that in early December we moved to a single optimizer in the revenue management perspective. In preparing for that, we tool a little bit more conservative view in how we would handle bookings and so forth and that would have an effect on yield closer in. So not unexpected, so I want to be sure that I’m clear on that. What we wanted to do was make sure that as we move into 2012 with the single optimizer, which is now forecasting from one system that we captured the synergies that we were expecting from that. So to your point, there are things that were happening. Still the other piece is that we are operating on two systems in a number of areas still. As Jeff mentioned in his comments we are really looking forward to the PSS integration in March. That will allow us to begin to capture many of the synergies across the network. So I think your point is a good one, I think the synergies will begin to move quicker obviously after we’re passed PSS. One of the things, and another example in that is that we are moving to the continental.com site we will be renamed united.com. So even through we moved past PSS, what we’ll quickly do is close what we call as some of the PSS gaps, so that on united.com there’s ancillary products such as premier line and other products like that that generate revenue that the continental.com sites did not have. So there will be that period of time that we’ll quickly, working with our technology folks to get those applications on to the new united.com site, which again will give us a little bit of time to recapture that revenue to move on and then at the same point begin to introduce new products. So I don’t know if that’s helpful, but I would say things aren’t unexpected, but we realize that for operating under two systems in certain areas, its not only difficult for our customers, our employees, that does create I call it some friction to invest in the network that we’re working through and we’ll get it with PSS.
Hunter Keay - Wolfe Trahan:
All right Jim, thanks. No, that is helpful. And Jeff, I’d like to hear your thoughts on labor for a second here. You mentioned the new leadership, obviously United ALPA. Have you had conversations with Captain Hepper (ph) yet and do you feel like any kind of ground was lost with the transaction leadership, any kind of progress you would have made under our (Inaudible) ALPA administration and maybe a brief update on where you stand or the pilots stand on seniority less integration. Thanks. :
Jim Compton :
Sure. Yes, I’ve visited with Jay already a couple of times, Jay Heppner (ph). I now have two Jay’s, so I have to distinguish between who is the Jay and I think in terms of progress loss, I think as the former United ALPA leader was sort of winding down, there was a period of time which we obviously couldn’t really make a progress, but now that we have a new leader I think we can. I visited with Jay about this, so he really does have a tremendous opportunity, kind of an inflection point here to be constructive and responsible and to move this process forward and I hope that he will do so. :
As for other details of the negotiations or the pilots discussions regarding a senior, a single seniored list, I won’t comment on those, I don’t think it’s appropriate at this time. :
Hunter Keay - Wolfe Trahan:
All right, thanks. :
Operator:
Our next question comes form Bill Greene from Morgan Stanley. Please go ahead. :
Bill Greene - Morgan Stanley :
Hi there, good morning. Zane, a question on the guidance, the chasm guidance. When you gave it, does it include an assumption about occurring for future labor contracts or is that something that we have to work in later as we get closer to CBA. :
Zane Rowe :
Bill, it includes what we call from our normal GAAP assumption. So it includes what we are assuming today. :
Bill Greene - Morgan Stanley :
Okay and the Jim or Jeff, when you look back at your time at Continental, when you were dealing with competitor bankruptcies, did you notice that there was any material corporate market share gains or did that not really play a roll in discussion at that time. :
Jim Compton :
Yes, it really didn’t play. I would say I really never saw significant change I think, particularly over time as the market place I think understands chapter 11 and so forth. So I think what we are seeing on the corporate side is really related to the network and the strength of the network as our sales force gets out there and communicates the value of this new enterprise going forward. So anything that we see, its really we think directly, really related to vast and correspondent to kind of our sales force talking about the value of the new enterprise. :
Bill Greene - Morgan Stanley : Yes, so if there were any gains, then given the Americans bankruptcy would problem come more from their network changing and yours having an advantage; is that fair?
Jim Compton: Yes, I think that’s right. I think the networks change as people understand. You mean it’s incremental value the new United now brings. I think that you will see that volume move appropriately.
Bill Greene - Morgan Stanley : Okay, that’s great. Thank you for the time.
Operator: Our next question comes from Michael Linenberg from Deutsche Bank. Please go ahead.
Michael Linenberg - Deutsche Bank : Hey, everyone. This is a question for Jim. Jim you talked about the Pacific being historically a very profitable part of the business and when you look at sort of where the bookings are, they are down a bit. I know you pointed to the calendar with the New Year, yet you did highlight in the fourth quarter I guess the premium cabin to China was good domestic or the economy looked like it was actually PRASM and yields were down. I mean are we also seeing besides the calendar, are we seeing a little bit maybe China in the midst of a soft landing here. I mean any additional color would be helpful, particularly when you look at maybe the Delta numbers and maybe because their pacific is more Japan oriented. They had a much higher PRASM gain in the quarter. What can you tell us about that?
Jim Compton: Okay Michael. Just a couple of thoughts. I think as you think about China, I think its more related quite frankly to capacity. So for us in Chicago to Hong Kong, Cathay started flying in the market in September and so forth and so there is that increased capacity. We have Shanghai flying, so over the year we started at that, transferring. They operate at really high revenue performances, but I do think those are things that put a pressure on the PRASM in China relative to Japan, because obviously if we look at our Japan versus China we see significant PRASM relative to what we are seeing in China. So I think its more the capacity side than anything. What we are really comfortable about at this point is one of the high level profitability those markets bring to us, but we are also seeing good strength in the premium cabin even as we look forward and as much as you like to see the book load factor, I’m always a little bit more happy that its in the leisure of things relative to the premium cabin.
Michael Linenberg - Deutsche Bank : Okay and then just as a follow-up on that, your ATI JV (Inaudible), that is now up and running right and what I just, I want to get a confirmation on that, and what have you seen since you started to integrate that. Does that include the Chinese routes or is it just purely the US and Japan.
Jim Compton: It’s the Japan routes in there and as well as the Singapore, Taipei, I’m getting the list of the different Hong Kong markets that are off in that. So it’s a little bit, it’s a basket of different markets out there, now totally inclusive of all of the Pacific. I would say that like the Trans-Atlantic it’s a phase-in type of JV, so a lot of the teams have been working very closely, harmonizing some of the pricing, quite frankly getting to know each other and how each company kind of thinks about the market place as we talked about the U.S. point of sale and ANA learns from that and we learn a lot from ANA on the Japan point of sale. So a lot of great work, but its a phased approach and its very early into the phase.
Michael Linenberg - Deutsche Bank :  Okay, very good, thanks. That’s all I need to know. I appreciate it.
Operator: Our next question comes from Duane Pfennigwerth from Evercore Partners. Please go ahead.
Duane Pfennigwerth - Evercore Partners : Thanks. Good morning. I just wanted to follow-up to an earlier question regarding your systems cut over here in the first quarter. Is there a period of time around that, where you might sort of throttle back or maybe not be able to push as hard on revenue as you might otherwise. I understand there is synergy potential that you can’t realize today that’s on the other side of this, but I’m just thinking, as we think about the cutover, is there a migration period where you might have to not push as hard as you otherwise would.
Jeffery Smisek: Duane, this is Jeff. Around the date of the cutover, we are taking some of the load off the airports, but that’s for a very short period of time. We are also obviously staffing up for that period of time, we’ve got a large number of people around the system who are experts in shares; they are called success teams around the systems, so we are confident about the cutover, but I think that that portion of it is actually fairly modest in terms of the revenue effect.
Jim Compton: Yes Duane, this is Jim. I’ll just add to it with my comments about moving to a single optimizer right. One of the reasons we wanted to move quickly working with our technology partners and the revenue management folks is so that we can be up and running as quickly as possible. So we are actually, the forecasting we are doing for demand is now an improved system, a one system across the whole network. So to Jeff’s point, I think its really kind of a rounded data of PSS itself.
Duane Pfennigwerth - Evercore Partners: Okay, thanks very much.
Operator: Our next question comes form Glenn Engel from Bank of America. Please go ahead.
Glenn Engel - Bank of America : Good morning, a couple of questions. When you touched on the underperformance of the Asian routes, but the European routes also look lower than the ATA data. Can you talk about what was driving that?
Jim Compton: Yes, I thought we did pass the 2% in the Trans-Atlantic with about a 3.7% increase in PRASM. So I think in the Trans-Atlantic, really across our whole system, as you think about capacity discipline, we’ve always kind of – it’s very much adhered to capacity discipline, but also kind of stabled capacity and not having really big swings in capacity, because we think over the long term that’s the best way to manage directly. We very much know that that work we have, you can’t duplicate it and the reason you can’t duplicate it, because it’s built through a global network. I mean it’s built because of those gateways that we have in particular. So we take a long term view of these markets rather than kind of a shorter term view that we feel really confident about. I also think that as we move across PSS, the way we are thinking about it, is that we’ll begin to see how the traffic flows across the network, right and as traffic flows across the network and we are on a single code, a single optimizer, we’ll keep our due-diligence on watching capacity, but we also wonder too where that traffics going to flow as we move forward.
Glenn Engel - Bank of America : Did you say how much the yearly Chinese New Year is benefiting January’s PRASM?
Jim Compton: Yes, no I did comment on that.
Glenn Engel - Bank of America : And finally on the cost side, I’m looking at the non-sealed chasm growth of the mainline up about five, and the non-filed chasm of the right, regional down about six. What’s driving that big divergence?
Jim Compton: Glenn, what period are you looking at? I mean I don’t think – there is nothing there that…
Glenn Engel - Bank of America : This is the forecast.
Jim Compton: Right, so there is nothing there that’s sort of out of the ordinary, more than what I talked about with some of the pressure that you’ve seen on salaries and the benefit line and then sort of the natural shift that you see, as you move more internationally, as we walk through the course of the year, we expect to see a little bit of cost pressures across the line items, but nothing more than that.
Glenn Engel - Bank of America : But why would the regional be down so much?
Jim Compton: That may just be a little bit of a mix issue as well, with some of the higher gauge regional aircraft and just shifting a little bit across the fleet there.
Glenn Engel - Bank of America : Thank you.
Operator: Our next question comes from Jamie Baker from JP Morgan. Please go ahead.
Jamie Baker - JP Morgan: Hey, good morning everybody.
Jim Compton: Hi Jamie.
Jamie Baker - JP Morgan: Jeff, on the subject of the March cutover to shares you spoke about having tested everything already, I’m sure you have. But my question is, what happens if the cutover doesn’t go as planed. I can’t help but think about seeing for more gains, you know what, I couldn’t shut the computer off. I mean can you…
Zane Rowe: Jamie, Jamie, we have a couple of things. One, we’ve had four full-scale dress rehearsals and all the data transfers and all the things that were appropriate. We have numerous amount of support both from travel port which runs ALPA, our former PSS and HP, they run shares for us as well, an enormous amount of preparation, but we also of course are being prudent, have the ability during the conversion itself to roll back. We also have some ability to roll forward; that is to do some postponement as well if we need to. So we’ve been pretty thoughtful, careful and conservative in this. We are exceeding well prepared for it. There are literally thousands of people that work on this, not only from a technology perspective, but the training of our United co-workers who have traditionally been working on ALPA, being trained in the shares and a large number of continental people in our success team literally around the globe for assistance. So I’m confident that this will go as planed, but as you point out being prudent, we also have the scenarios in case if we have some unforeseen issues.
Jamie Baker - JP Morgan: Perfect, that’s what I hoped to here and second, just on the ancillary business expense, based on the restatements for last year, it doesn’t look like these expenses, I guess this is designed that there is any particular seasonality to them, is that the right way to be kind of thinking about growth in the business going forward?
Jim Compton: I think that’s right Jamie. I think we touched on the MileagePlus component as being a great growth story. This portion of that will actually not have the same seasonal attributes that I would say is the portion obviously tied to the airline dose. So you are exactly right and that’s where we expect to see the growth and expense, see the commeasure growth and revenue obviously on the other revenue line.
Jamie Baker - JP Morgan: Yes, okay terrific. Thank you very much gentlemen.
Jim Compton: Thanks.
Operator: Our next question comes from Kevin Crissey from UBS. Please go ahead.
Kevin Crissey – UBS: All right, thanks. Your CapEx number is kind of what I would have thought, but it’s a decent sized number with the fleet changes. How should we think about your maintenance CapEx when I look at Delta running at kind of 1314 overall, you guys running higher than that now. What is maintenance CapEx and would you expect to be able to generate free cash flow with your current CapEx for ’12.
Jim Compton: Kevin I would break out the aircraft portion from what I’d even call sort of aircraft related and other CapEx. Obviously even as you separate the acquisition of the new aircraft for this year, you still have a slight buy wave (ph) given all the improvements we are making in the products and all the improvement we are marking really across the fleet, whether its operational improvements or otherwise putting lie-flat beds on some of the light bodies and narrow bodies, so I would separate that. We are clearly in a buy wave (ph) and we’ve also spread out our CapEx a little bit. We ended up a little bit lower than our guidance was for last year. So we are pretty comfortable with where we are, although I’ll tell you, we are a little bit higher than where we’d be normally and then the big bump that you see this year is driven by the 787s and obviously the 73s.
Kevin Crissey – UBS: Okay, and in terms of just ability to generate free cash off of that type of CapEx.
Jim Compton: I mean, we are still comfortable with what our projections are and our ability to generate free cash flow, yes. I mean obviously it depends upon your definition about how you think about the new aircraft acquisitions, but we are quite comfortable with those decisions and obviously especially with the 787. I mean that truly is a game changer and I think you’ll see the difference on the operating line items.
Kevin Crissey – UBS: Thank you.
Operator: Our next question comes from Gary Chase from Barclays Capital. Please go ahead. 
Gary Chase - Barclays Capital : Good morning everybody. I wanted to see if I could just ask one of Jim. In the fall-wint and started with reasonably comprehensive shift in the network as you were cutting capacity domestically. Just wondering what your experience is with revenue retention there and wondering if you feel like there are incremental opportunities to do that without sacrificing revenue and driving that home on the PRASM line.
Jim Compton: Yes, a couple of comments. I think in terms of revenue retention, I think the revenue retention is there. I think it depends on the market and what we did. There are certain markets that we update with capacity given the new fleet that we have and to a certain extent its also like that piece of the up page is like a new market, right, that you wanted to school and build and so forth and you worked that and build it, as fast as the revenue management system learns about the capacity changes. But from a retention point of view we saw no loss in revenue given kind of aircraft relocation. You know I think a lot of the things we did also were to drive PRASM was to do something that we think, particularly around holidays and thanksgiving and things like that, that historically weren’t done on one subsidiary that was done on the other. So all in all the changes we’ve made have worked pretty well.
Gary Chase - Barclays Capital: And do you think they kind of picked up immediately or is there some learning curve associated with that as well?
Jim Compton: I think there is clearly, to be frank that there is some learning curve. Depending on the market again we’re right sizing it and so at a market where the gauge went down and demand was there, obviously we saw the revenue performance relative to it pretty immediately, but where you’re up-gauging, you actually do need time to work in it and just let it spill out.
Gary Chase - Barclays Capital:
Jim Compton: No
Gary Chase - Barclays Capital: Okay, thanks guys.
Operator: Thank you. Ladies and gentlemen, this concludes the analyst and investor portion of our call today. We will now take calls from the media. (Operator Instructions). Our first question comes from Josh Freed from the Associated Press. Please go ahead.
Josh Freed - Associated Press : Hi there. Can you say a little more about the switch over on the website. You mentioned that you’re going to be taking continental.com and renaming that as united.com. Is there something in particular about the current continental site as opposed to the current united site that you are interested in maintaining? You know what is it that the customers are going to see I guess once you make that switch and why go with the Continental version rather than the United version.
Jeffery Smisek: Well, the main reason, the fundamental reason is we’ve moved to the shares passenger service system and the continental.com works obviously off of the shared systems. So kind of the main driving force with the overall system that we moved to, that being shares. Both websites are terrific websites in the market place. They both get really high satisfaction rates from some of the research and so forth and both sites have lots of functionality, lots of different applications and so forth, but really the movement to continental.com was driven by the fundamental fact that we are on the shares now.
Josh Freed - Associated Press : All right. And have you said how long you expect that you’ll have integration expenses that were at the level that we saw in this most recent quarter. I think it was $173 million. I mean, is that the kind of thing we are going to see for many quarters to come or what point does that taper off?
Jim Compton: Josh we don’t typically forecast that portion on the expenses, but obviously as you would expect, at least through the first half of this year you would expect to see a similar run rate I’d say.
Josh Freed - Associated Press : All right, thank you.
Operator: Our next question comes from Mary Jane Credeur from Bloomberg News. Please go ahead.
Mary Jane Credeur - Bloomberg News: Hi Jim. I’ve got a question about the outlook for the rest of the year in Europe specifically. I know you guys addressed that a little earlier on the call and in the Investor Outlook, but it sounds like you’re a little bit more optimistic than you were on the last call and that seems to be on line with what we heard obviously from your pears. Can you elaborate a little bit more about Europe? Have things bottomed and are they looking better than they did?
Jim Compton: This is Jim. I think its focusing specifically on Europe. We do see the book load factor down year-over-year. We are seeing strength in the premium cabin versus the economy cabin, which does say that the challenges in the euro zone, from the economics and so forth is having more of a difficult time on the leisure traffic, but clearly the business traffic, particularly out of the US is still relatively strong as we talk to our corporate travel partners. But there is a softening in demand as a result of the issues that are happening in Europe.
Mary Jane Credeur - Bloomberg News: And a question about the New York market, there’s a lot of activity happening there. Delta and US Airways have got their slots approved and they are about to pull the trigger on those schedule changes soon. Delta’s got their new JFK terminal that will open soon. American Airlines has been a little distracted by the bankruptcy. What does all this mean to the New United for both business and leisure passengers out of New York and are you winning market share there.
Jim Compton: Well, our market share is very steady and we do see shares shifting among other carriers, but our market share is very steady in the New York area. For us its business as usual. We’ve been there a long time; we’ve been in markets; we’ve invested in the facility; we continue to invest in the facility over the years with lounges and so forth, so for us its kind of business as usual. At the same time knowing that it is a competitive market place, so our sales force is out there as I mentioned earlier, talking about the value of this network and the value that it brings to the enterprise. But New York for us is actually a very interesting market that’s different than other folks, right, in terms of our ability to use that facility. Its more than just about the local market, right. It’s a terrific connecting hub and most of the connections through our hub are actually international. So we are the only carrier that has really what I call the true connecting hub, single connecting hub in New York, so for us that’s strength. We see steady market share as I mentioned and we think the benefits of the network and as give PS, past PSS we will actually bring more value to the customer in New York.
Mary Jane Credeur - Bloomberg News:  So you anticipate that market share is climbing in the next few years?
Jim Compton : We are about managing towards returns and so I want to be careful when I talk about market share, because what we are really trying to do is generate stable and sustainable profits, right and our New York strategy is going to play in that, just as much as it plays across our whole network.
Mary Jane Credeur - Bloomberg News: Great, thank you Jim.
Operator: Our next question comes from Ronnie Crocker from Houston Chronicle. Please go ahead.
Ronnie Crocker - Houston Chronicle : Thanks. I have a question about Houston specifically. When you talk about the capacity and what happened in 2011 which forecasted in 2012, where does Bush Intercontinental stand and – I’m sorry, Bush International Airport stand and how did the Latin American growth effect that.
Jeffery Smisek: Ronnie, this is Jeff. Our Houston hub is our largest by departures and its an incredibly important part of our network, its our gateway to Latin America. Latin America right now is a very strong entity for us. We’ve had significant year-over-year unit revenue growth. It is an important market for us; it will remain an important market for us. You’ve seen us recently announce a new international service out of Houston. We started Houston Legos (ph); we’ve announced Houston Auckland. I think you will continue to see Houston be very important to the new United.
Ronnie Crocker - Houston Chronicle: And so do you see any flights being cut out of here and when these five new Dreamliners arrive, how many of them will be flying in or out of Intercontinental?
Jim Compton: Hey Ronnie, this is Jim here. A lot of those plans aren’t formalized now, but adding on to Jeff’s points now, we’ve launched Houston Lego (ph). Just last week our Chief Operating Officer there was breaking ground on Terminal B, Phase I expansion. So to Jeff’s point, its our biggest hub. Quite frankly our corporate travel business, the biggest factor is our energy business. So Houston is really important to us and its going to be really important to us in the future.
Ronnie Crocker - Houston Chronicle: Okay, thank you.
Nene Foxhall: Okay with that we are out of time, so we’ll conclude. Thanks to all of you for joining us today. Please call me at the relations if you have any further questions and we look forward to talking with you next quarter. Good-bye.
Operator: Thank you ladies and gentlemen. This concludes today's conference. You may now disconnect.